Operator: Good day, ladies and gentlemen, and welcome to the Daktronics Fiscal Year 2013 Fourth Quarter and Fiscal Year Earnings Results Conference Call. As a reminder, this conference is being recorded today, Wednesday, May 29, 2013, and is available on the company's website at www.daktronics.com. [Operator Instructions] I'd now like to turn the conference over to Ms. Sheila Anderson, Chief Financial Officer for Daktronics, for some introductory remarks. Please go ahead, Sheila.
Sheila Mae Anderson: Thank you, Allie. Good morning, everyone. Thank you for participating in our fourth quarter and year-end earnings conference call. I would like to review our disclosure cautioning investors and participants that in addition to statements of historical facts, we will be discussing forward-looking statements, reflecting our expectations and plans about our future financial performance and future business opportunities. All forward-looking statements involve risks and uncertainties which may be out of our control and may cause actual results to differ materially. Such risks include changes in economic conditions, changes in the competitive and market landscape, management of growth, timing and magnitude of future contracts, fluctuation of margins, the introduction of new products and technology, and other important factors as noted and detailed in our 10-K and 10-Q SEC filings. At this time, I would like to introduce Jim Morgan, our President and CEO, who will provide highlights for the quarter.
James B. Morgan: Thanks, Sheila. Good morning, everyone. Thank you for joining us this morning. I'll start with a bigger picture look back on our fiscal 2013 which we have just completed. As we look back on the year, it was a year that demonstrated how our business inherently has seasonality and variability. The first 2 quarters of the fiscal year were great for us. The second quarter was exceptionally strong. At the end of the second quarter, our operating margin for the year-to-date was just under 10%. The third quarter was slow for us, which is not unusual, and in the fourth quarter we weren't quite as busy in our factories as we would have liked to have been. While we had a significant amount of work in backlog, our order timing and project schedules moved that work into our first quarter of '14 and some into the -- later in '14. Also, our warranty costs this past quarter were higher than we would have liked. These factors impact our operating margin and the end result for the quarter was less than we would have liked. But we ended the year at just under 6% in operating margin. There were many things in the year that we were very pleased with, we have many exciting projects this year, both domestic and international. This year was a bit unusual in that 2 of our largest projects we worked on fell in our Transportation business. As I said, this is a bit unusual as the very large projects, and by that I mean those greater than $10 million, have historically fallen in our Live Events or International businesses. Again, this is indicative of the variability of our business, opportunities can come in any area. One of these projects was the multifaceted video display system for the Los Angeles Airport, which we're just completing the installation of at this time. The LAX project has been a great team effort between our Transportation group and our Live Events and Video Products engineering groups. The second project was for a full-color display for the New Jersey Turnpike Authority, a project that spanned 3 years but which had significant revenue in the fiscal 2013. For some further comments on the quarter and the year in review, I would like, at this point, to introduce Reece Kurtenbach, who has joined us today. Reece, as you may know, has been identified to succeed me as CEO later this year. First of all, a little on Reece's background and history with the company. Reece worked for Daktronics as a student, while attaining his electrical engineering degree from SDSU in the mid-'80s. After a few years working in Colorado, post-graduation, he returned to Daktronics where he worked initially as an applications engineer. Then as a product development engineering manager, responsible for the product area that in the late '90s became our Video Products group. Reece was named Vice President in 2004, and in 2006, assumed responsibility for our Live Events and International business units when we adopted the business unit structure. This included retainer responsibility for Video Products technology and engineering. The various responsibilities Reece has had in his years with the company give him a deep understanding of our business. So at this point, I'm going to ask Reece to comment a little on product development, also may be share a little news from our Live Events and International business units. Reece?
Reece A. Kurtenbach: Thank you, Jim. Good morning, everyone. As Jim mentioned, one of my areas of responsibility has been providing leadership to the product development teams. Our development, of course, is a key element in building towards the future and in the past few years, we have really been focused on developing our systems around platforms. This has had many benefits so we've been able to increase reliability, adopt common processes in our factories and really lower our overall product cost. For today, I thought I would review 3 major developments in our display systems engineering that received significant attention in FY 2013. The first product is in our Transportation business to support the intentions of many state DOT departments to deploy full-color signage in their future projects. We completed and released an RGB full color solution in the last fiscal year. This product is on a 20-millimeter pixel pitch and we have shipped our first production units in Q4 to Oregon DOT. The second project is a common digit platform that's used in both our sports and commercial applications, really, in outdoor scoreboards and gas price displays are the main usage. Initial scope of this project is complete and we've been shipping these new digits and other components for a few months, achieving a higher reliability with reduced costs. Finally, we have enhanced our outdoor surface mount LED platform. For a number of years, we've been successful with the 10-millimeter pixel pitch in an outdoor surface mount product and in 2013, we focused on expanding this to a 15 millimeter version. With this product, we have achieved a number of important advances including a high contrast ratio image uniformity, as well as high reliability and we're -- we are planning right now to ship the first production units this summer for several sports applications. This development will continue as a high priority in FY 2014 to ramp-up the manufacturing processes and develop higher resolution versions off of this platform. We also continue to invest in other areas, for instance, the development of our platforms for control systems. In this area, our goal is to provide systems that meet the needs of our varied customers while maximizing the use of software elements that are common across these applications. Development on control system platforms will continue on in FY 2014. Just to touch on our business in Live Events and International, there were a few significant projects that maybe give insight to the market. In the last year, in our sports business, we installed and commissioned a system at Barclays Center in Brooklyn, New York. It was a new construction project that came online last fall and contained a number of special elements. One of the most visible was this feature called the oculus that is seen as you approach the arena. Also, this spring, we completed 2 extensive renovations of existing facilities with the commissioning of Sports Authority field at Mile High in Denver as well as Wembley Stadium in London. Both of these projects continue to trend where the original display system was replaced at about 10 years by larger, more capable systems. So it's really been an exciting year for us on all fronts. At this point I'll turn it over to Sheila to provide some insight to the financials.
Sheila Mae Anderson: Thank you, Reece. Going into the fourth quarter, we have anticipated a sequential increase in sales from the third quarter and an increase over last year's fourth quarter. We were able to achieve the growth of over 10%, based on workable projects queued up in the backlog during the quarter. Although we didn't have large spring baseball orders to deliver this past fourth quarter, we did work on a number of projects in our international area and our large sports stadiums in the U.S., which contributed to the conversion of orders to sales during the quarter. Overall, for the fiscal year at 2013, we were able to achieve nearly a 6% growth rate in sales. Margins improved to 23% compared to 22% last year same quarter and down from the third quarter as expected. As mentioned in last call, we have anticipated a decline in gross margin percent from the third quarter because of the sales mix, which included a higher proportion of larger projects which had lower margins. We generally face stronger competition on those larger projects, which had an impact on the gross profit margin. In addition, margins were impacted by unexpected warranty issues causing a 3% negative impact to gross profit margin in the quarter, compared to the same quarter last year. Part of the unexpected warranty issues were due to the failure of a component we purchased through a supply manufacturer. We have come to an agreement with that supplier for partial reimbursement. However, the reimbursement will occur over the next few years based on our purchases with them. Therefore, we were unable to recognize this benefit in the fourth quarter and expect to realize this reimbursement over the next couple of years. For fiscal 2013, gross profit margin improved to 26%, up from 23% in fiscal 2012. The primary reason for the increase was improved utilization of our fixed infrastructure in our manufacturing area, due in part to the increase in sales volumes and process improvements. And in overall profitability strategies relating to sourcing efforts with component pricing. In addition, we saw an overall improvement due to sales mix. From an operating cost perspective, we had an increase over the third quarter because of additional allowance for doubtful accounts taken for an International project and an increase in professional fees for international expansion projects including the work related to the OPEN acquisition and an expansion of our ERP and reporting systems into our Shanghai facility. Operating expenses for fiscal years 2012 and 2013 were approximately equal at $103 million. We have worked diligently to manage the needs of the infrastructure to support business growth yet manage the cost to support the financial operating cost goals and objectives. For fiscal 2014, we do predict a slight increase in operating expenses, as far as dollars go, to support the business growth but hope to slightly decline the operating expenses as a percent of sales. Our tax rate for the quarter reflects adjustments for final income for the year and related deductions. We are forecasting our effective tax rate for fiscal 2014 to be back up in this 35% to 36% range as we won't have the impact of the reinstatement of the R&D credits included in the fiscal year 2013's rate. However, as discussed in our SEC filings, this rate can fluctuate depending on which tax jurisdiction sales will end up coming in around the world. We are starting the year with a 15% larger backlog than last year going to fiscal '13, and expect sales for the first quarter of fiscal 2014 to increase as compared to the fourth quarter we just completed and comparable to fiscal 2013 quarter 1. Gross profit also is expected to be slightly higher than the fourth quarter of fiscal 2013. For 2014, we are estimating approximately $16 million in capital investments. For fiscal 2013, we've spent $10 million against our original estimate of around $14 million. The investments that we had anticipated are still being made, but now, they moved into fiscal '14, which primarily is due to the timing of the capital equipment projects and projects not being received or completed until early fiscal 2014. These projects include the equipment and tooling for our manufacturing area for the new outdoor surface mount product family. And during the year, we are planning on additional investments as we developed and begin to manufacture additional pixel pitches in this product platform. We also plan to invest in demonstration equipment to assist our sales teams in selling the new product. We will also invest in other pieces of equipment to enhance and improve our production capabilities. And then finally, another large area of expected capital needs is in our information and technology infrastructure to keep that reliable and optimized. With that, I'll turn it back to Jim for additional comments.
James B. Morgan: Thanks, Sheila. So looking ahead, fiscal 2014 is already well underway. One of the first things we did this fiscal year is complete the acquisition of OPEN Out-of-Home, of Belgium, earlier this month, which Reece has been integrally involved in that. And that was anticipated for our previous announcement. OPEN specializes in displays for the third-party advertising market, and I look forward to visiting OPEN the first week of June to participate in the celebration of our 2 companies coming together. I also look forward in the business opportunities that our joint efforts will create. Fiscal 2014 will be a big year for me personally, as I have announced I will step down as CEO this year. Reece will be stepping into the CEO role. So Reece will be the CEO for much of fiscal 2014 and of course, beyond. We've been working together, planning for fiscal 2014 along with the entire management team. And so I thought that since Reece will be carrying the torch for the latter portion of 2014, perhaps I'll let him share a little about our view of the future here.
Reece A. Kurtenbach: Thanks, Jim. As Jim mentioned, one of the exciting things we recently accomplished is the purchase of OPEN Out-of-Home in Belgium. This acquisition positions us to provide a more complete set of cost-effective and reliable solutions for the third-party advertising market. This third-party advertising business continues to be strong worldwide and we see a definite shift to digital as prices come down. We continue to install projects in Europe, Middle East, Africa, South America, Australia and, in general, we see a lot of upside in our international business. As we look at the other areas of our business, in our Commercial business, we see it may be a bit flat in the billboard side, given the indications in spending from some of our major clients. We do see opportunities in the large projects area of our Commercial business, and we are expecting modest growth in Commercial in FY 2014. In Live Events, we continue to see ongoing interest from venues at all levels to increase the size and capability of their display system. This trend drives interest in video for high schools as well, which should offer continued growth opportunity in both of these markets. Our Transportation business had a great year this year and although we see this business as strong going forward, this coming year will be a tough comparable due to the 2 large projects that Jim described earlier that occurred in FY 2013. Overall, we expect revenues in Transportation to be down year-over-year, and again this is not an indication of weakness in that market but just that FY 2013 had a couple of unusually large projects. In summary, we are optimistic about the future. We are the world leader in many of our markets, we have great products and great people and we have made great progress in reducing costs through eliminating waste and improving our processes, which is still ongoing. We feel we are positioned well to continue to achieve some top line growth and we will maintain our focus on cost reduction and bottom line performance as we go forward. With that, I would ask the operator to please open it up for questions.
Operator: [Operator Instructions] Our first question comes from Stephen Altebrando of Sidoti & Company.
Stephen Altebrando - Sidoti & Company, LLC: Welcome, Reece. In terms of the warranty issue that you mentioned, the component issue, is that largely been corrected at -- by the end of your fiscal '13?
Sheila Mae Anderson: We have a large amount of that corrected, yes. And we may have some additional costs, but like I mentioned, we do have a commitment from the supplier to help us out on these costs that are -- we're incurring.
James B. Morgan: I think it's important to make it clear, Steve, the warranty is really a reserve. So that some of these costs haven't actually been incurred yet, so we're reserving for anticipated cost, to be clear.
Stephen Altebrando - Sidoti & Company, LLC: Okay, so now the benefit from the reimbursement, is that expected to be kind of reimbursed equally over the next couple of years? Or certain quarters in particular?
Sheila Mae Anderson: It's -- I'd say it's equal over the next few years. Yes. Just for initial estimates, you can assume an equal amount of reimbursement.
Stephen Altebrando - Sidoti & Company, LLC: Okay. And then just lastly, quickly, if you could talk a little bit about the margin profile and the backlog and I just want to make sure I heard you correct in the script. Did you say you expect higher gross margins to be up on a year-over-year basis, fiscal '14 -- first quarter fiscal '14 versus '13 or was it sequential?
Sheila Mae Anderson: We expect for the fiscal year to be slightly higher as for gross margins. We are working on a number of initiatives to continue to improve our gross margins. We have some very good projects in fiscal '13 that helped achieve the margins that we did receive. As you know, it will depend on our competitive environments that we'll face going into future quarters. For our margins for the first quarter, will be slightly higher than our fiscal '13's Q4 gross profit percent.
Operator: [Operator Instructions] Our next question comes from Jim Ricchiuti of Needham & Company.
James Ricchiuti - Needham & Company, LLC, Research Division: So the improvement in margins in Q1, you'll get some benefit from the warranty issue that you highlighted. But it sounds like the pricing environment is still somewhat challenging. Is that what's holding back margins in Q1? And maybe, Sheila, I may have missed it, I think you gave some color in terms of the revenues for the quarter. Did you say you expect revenues to be up modestly year-over-year in Q1?
Sheila Mae Anderson: For Q1, we believe that revenue will be up slightly from last year same quarter, from quarter 1.
James Ricchiuti - Needham & Company, LLC, Research Division: So, then just getting back to the gross margins, is it -- at those kind of revenue levels, assuming you're up year-over-year, we would -- might assume that the margins would be a good deal higher than the Q4 level. And I'm trying to understand, is it a mix issue, is it just because of the business you have in backlog that it was -- there was more competitive pricing associated with some of those projects?
Sheila Mae Anderson: We will be higher than quarter 4. Or we are anticipating that we'll be higher than quarter 4, not quite as high as last year's quarter 1. We had an uptick in quarter 1 of last year for one of our projects. So not quite that high is what we're -- what range we're predicting our [indiscernible]. We are finishing up a larger project that has a little lower margin that has some impact to the estimate for the first quarter.
James Ricchiuti - Needham & Company, LLC, Research Division: Okay, that's helpful. And I wonder if you could -- Reece, I think you gave a little -- or Jim, you gave a little bit of color with respect to a couple of the markets. Wasn't sure what you're anticipating in the Live Events business for this year. It was, I guess, down in fiscal '13. Are you assuming that business improves in fiscal '14? Is that coming mostly from retrofitting or just some new project work?
James B. Morgan: You want to take that?
Reece A. Kurtenbach: Yes. We believe that our Live Events business will be up in FY '14 over FY '13 due to interest in the market. We think the interest is very strong and we have this 15 SMG product that we didn't have last year as we went into this [Audio Gap]
James Ricchiuti - Needham & Company, LLC, Research Division: Okay, and one final question if I may and I'll jump back in the queue. Sounds like with respect to the billboard business, you're looking at somewhat flat revenues. And I wonder if you could, number one, provide what the revenues were in the quarter in billboard and how do you look at the balance of the Commercial business in fiscal '14, x the billboard business?
Sheila Mae Anderson: The billboard revenue for the quarter was $10 million. And could you repeat the last part of your question?
James Ricchiuti - Needham & Company, LLC, Research Division: Sure. What I was just wondering is I think I heard you say that you're looking at a relatively flat year for billboards in fiscal '14. And so my question is, how do you look at the rest of the Commercial business? Are you assuming growth in the remainder of the Commercial display business?
Sheila Mae Anderson: We'll have some modest growth in those other areas and we do see some opportunities for large contract orders. So we're not seeing much of a growth overall in the Commercial business unit though for FY '14 at this time. So overall, with the mix, it's about -- it's similar to FY '13.
Operator: And I'm showing no further questions at this time. And I would like to turn the conference back over to Mr. Jim Morgan for any closing remarks.
James B. Morgan: Well, thank you, everyone, for joining us this morning. Again, good to have Reece with us this morning to share some thoughts. Thank you for your questions and have a great day.
Operator: Ladies and gentlemen, this does conclude today's conference. You may all disconnect, and have a wonderful day.